Operator: Good afternoon, and thank you for joining Airbnb’s Earnings Conference Call for the Fourth Quarter of 2021. As a reminder, this conference call is being recorded, and will be available for replay from the Investor Relations section of Airbnb’s website following this call. I’ll now hand over to Ellie Mertz, Vice President of Finance. Please go ahead.
Ellie Mertz: Good afternoon, and welcome to Airbnb’s fourth quarter of 2021 earnings call. Thank you for joining us today. On the call today, we have Airbnb’s Co-Founder and CEO, Brian Chesky; and our Chief Financial Officer, Dave Stephenson. Earlier today, we issued a shareholder letter with our financial results and commentary for our fourth quarter and full year of 2021. These items were also posted on the Investor Relations section of Airbnb’s website. During the call, we’ll make brief opening remarks and then spend the remainder of time on Q&A. Before I turn it over to Brian, I would like to remind everyone that we’ll be making forward-looking statements on this call that involve a number of risks and uncertainties. Actual results may differ materially from those expressed or implied in the forward-looking statements due to a variety of factors. These factors are described under forward-looking statements in our shareholder letter and in our most recent filings with the Securities and Exchange Commission. We urge you to consider these factors and remind you that we undertake no obligation to update the information contained on this call to reflect subsequent events or circumstances. You should be aware that these statements should be considered estimates only and are not a guarantee of future performance. Also, during this call, we will discuss some non-GAAP financial measures. We’ve provided reconciliations to the most directly comparable GAAP financial measures in the shareholder letter posted to our Investor Relations website. These non-GAAP measures are not intended to be a substitute for our GAAP results. With that, I’ll pass the call to Brian.
Brian Chesky: All right. Thank you very much, Ellie, and good afternoon, everyone. Thanks for joining. I’m excited to share our Q4 results with you. Q4 was another record quarter, and 2021 was the best year in Airbnb’s history. In Q4, revenue was $1.5 billion, our best fourth quarter ever and exceeded 2019 by 38%. Net income was $55 million, our best Q4 ever compared to a loss in 2019. And adjusted EBITDA was $333 million, also our best Q4 ever. Our adjusted EBITDA margin was a positive 22% compared to a negative 25% in Q4 of 2019, this is a huge improvement obviously. Now, in Q4, GBV was $11 billion, which surpassed 2019 levels by 32% and was driven by strong ADR. Now, even with Omicron, Q4 Nights and Experiences Booked were only down 3% compared to 2019. And when you exclude APAC, it was actually up 8%. What our [ph] results show is that we’ve been able to respond to this changing world of travel. Nearly two years into the pandemic, it’s clear that we are undergoing the biggest change to travel since the advent of commercial flying. Remote work has untethered many people from the need to be in an office. And as a result, people are spreading out to thousands of towns and cities, staying for weeks, months, or even entire seasons at a time. For the first time ever, millions of people can now live anywhere. And we’ve been able to respond to these changes because our model is inherently adaptable. Our millions of hosts offer nearly every type of home in nearly every community around the world. But it’s not just a model. It’s also our culture of relentless innovation. In the last year alone, we made more than 150 upgrades and innovations across every aspect of the Airbnb service. This explains why we had our best year in our company’s history, despite still being in the midst of a pandemic. Now, there are a number of business trends that have been driving the strong performance. First, guests are staying in thousands of small towns and rural communities on Airbnb. Throughout the pandemic, we’ve seen growing demand for domestic and nonurban travels. In Q4, gross nights booked in non-urban markets was up nearly 45% from Q4 2019. And in the past year alone, Airbnb guests stayed in nearly 100,000 towns and cities all around the world. Second, guests are also returning to cities. Q4 nights booked at urban destinations have recovered to -- nearly recovered to Q4 2019 levels. And cross border travel also continues to recover and improved each quarter in 2021. Guests are planning to travel despite variants and surges. Despite the impact of Omicron, in December, gross nights booked were up 40% and the cancellation rate was lower than a year ago. In Q1, we’re already seeing strong demand for the summer travel season compared to 2019. And finally, guests are not just traveling Airbnb, they’re now living on Airbnb. Nearly half of our nights booked in Q4 were for stays of a week or longer. One in five nights were for stays of a month or longer. And in the past year alone, nearly 175,000 guests stayed for three months or longer. So, I’m going to follow on the footsteps of our community. Recently, I shared that I too am going to live on Airbnb. Right now, I’m doing this call from Airbnb in Miami. And I’ll be staying in a different town or city every couple of weeks. I’ve always wanted to do this. But before the pandemic, I had to be in office every day. Now, I have the flexibility that millions of other guests do on Airbnb. And I also think it’s important that as CEO, I deeply understand the nuances and unique opportunities that this use case on Airbnb will provide. So now, I want to recap how we did on last year’s priorities. As you recall, for 2021, our single priority last year was to prepare for the incoming travel rebound. And to do this, we focused on perfecting the end-to-end experience all of our core service. This meant educating the world about hosting, recruiting more hosts and setting them up for success, simplifying the guest journey, and delivering world class service. So, let me just give you a really quick update on each. First, we’ve been educating the world of what makes Airbnb different, and that is hosting. In 2021, we launched our first large-scale marketing campaign in five years to educate guests about the benefits of being hosted and inspire more guests to become hosts. It worked. We’ve seen an increase in traffic to our platform in countries we ran the campaign, and this was significantly ahead of non-campaign countries where we didn’t run the campaign. Second, we’ve been recruiting more hosts and setting them up for success. Last year, we redesigned the host onboarding flow, making it easier for new hosts to get started. And we also introduced our d Ask a Superhost program, pairing potential hosts with Superhosts to answer their questions. And finally, we created AirCover top-to-bottom protection, free for every Airbnb Host and only offered on Airbnb. Third, we’ve been simplifying every part of the guest experience. Last year, we introduced I’m Flexible, a whole new way to search on Airbnb when guests are flexible about where and when they’re traveling. And guests, since we’ve launched these features, have used I’m Flexible nearly 800 million times. We’ve also chipped dozens of other product features to improve the guest experience. And finally, fourth, we’ve been focused on delivering world class service to our guests and our hosts. Now, in addition to providing protection for our hosts through AirCover, we launched dedicated Superhost support. Now, dedicated Superhost support provides our most experienced host priority access to our most experienced support agents. And as a result, we’ve seen fewer escalations and faster resolution times, increasing overall Superhost satisfaction. Now, I’m incredibly proud of everything we deliver to our guests and hosts in 2021. But it’s important to note we are not stopping here. Because in 2022 and beyond, what we’re going to do is accelerate our pace of innovation. And we’re going to focus on three key priorities: Live anywhere on Airbnb; unlock the next generation of hosts; and Airbnb becoming the ultimate host to our community. So, let me just give you a quick preview of each. First, live anywhere on Airbnb. As a result of pandemic, millions of people to now live anywhere. They’re now using Airbnb to travel to thousands of towns and cities staying for weeks, months or even entire seasons at a time. Some people without families, like me, I can kind of live a bit nomadically, staying in different Airbnb’s every week or every month. Now, people who have families probably can’t do that. But we’re seeing people who have family going to have a lot more flexibility over the summer, and I think this is why bookings in January for this summer by nights booked are up 25% from this time in 2019. Another people are just going to take some more extended weekends. The key point is that every length of stay on Airbnb is going up, whether it’s two nights, three nights, a week, a month or a season, all lengths of stay except for single nights are up on Airbnb. And we want to design for this new world by making it even easier for guests to live on Airbnb. The second priority is we will unlock the next generation of hosts. With 4 million hosts on Airbnb, we believe we’ve just scratched the surface in growing our host community. So, what we’ve done is we listen to thousands of people who think -- who are thinking about hosting to understand what obstacles there are for them to become a host. And what we’re going to do is systematically address each of these obstacles in order to attract the next generation of host on Airbnb. And finally, Airbnb will become the ultimate host. We believe that Airbnb can be much more than a marketplace that merely connects guests and hosts. Our goal is to provide the ultimate service to our guests, anticipating their needs and going above and beyond just like a good host. Now, by offering a more personalized service, we can dramatically improve the experience for millions of guests around the world. So that’s it. Just to summarize. Q4 was Airbnb’s best quarter ever. Revenues, adjusted EBITDA and net income were all records. We’re in the midst of a revolution in travel because people have newfound flexibility in how they live and work. Our adaptable model and our relentless innovation have allowed us to respond to this moment. And in 2022, we’re going to accelerate our pace of innovation and continue to support this new world of travel. So, with that, Dave and I look forward to answering your questions.
Operator: [Operator Instructions] Our first question comes from Colin Sebastian from Baird.
Colin Sebastian: Two questions from me. I guess, first off, Brian, you recently posted on Twitter the most popular requests for new functionality or services on the platform for this year. I think crypto payments might have been a tough request. But, when you talk about acceleration in the pace of innovation, what should we think about in terms of the key areas of focus and how that impacts where you’re spending money? And then, secondly, maybe just one clarification on the EBITDA outlook for the full year. I think, there was commentary on flat margins. Is the context for that a seasonal -- or return to seasonal booking trends and ADRs normalizing, or if that’s not right, if you could add some context? Thank you.
Brian Chesky: Yes. Thanks very much, Colin. So, why don’t I take the first question and obviously, Dave, I think you could take the second question on EBITDA. So, Colin, with regards to the pace of innovation, just to kind of create a contrast, last year, we created 150 upgrades in innovation. So, it was the most innovation we’ve ever delivered in any year of our history. And I think this explains why it was probably the best year in our company’s history. But this year, we intend to create even bigger leads with our product. And just to give you a sense of how we’re thinking about it. Going back to our priorities. We’re seeing that millions of people are not tethered to have to go back to an office five days a week. And what this means is guests are spreading out to thousands of communities all over the world, and they’re also staying longer. And so, we want to design for this world, both people just living on Airbnb or just traveling and having more extended vacations. We also launched I’m Flexible last year, and that product has been used 800 million times. Now, this is a really key feature, because since the advent of the Internet, almost every travel website asked you two questions: Where are you going? And when are you traveling? And suddenly, I’m Flexible gets us further up the funnel. This allows us to be in the inspiration business. And it’s ultimately strategic for Airbnb because if you’re flexible about where and when you can travel, we can point demand to where we have supply. So, we’re going to continue to upgrade our product. And we’re going to continue to be better host to our guests in those communities by providing even better world-class service for them each step of the way. So, what we’re going to do is continue to invest in the guest experience to adapt to these new behaviors, provide world-class service for them. And then, once again, we want to unlock the next generation of hosts. So, we have a whole road map where we understand each of the obstacles for people to host, and we’re going to launch products and features this year that will unlock those obstacles. And I’m sure that’s going to create a huge plethora of new supply in Airbnb. Dave, do you want to get the second question on EBITDA?
Dave Stephenson: Sure. Yes. We’re very proud of the progress we’ve made in our margins in 2021. I mean, we increased them from minus 5% back in 2019 to 27% in 2021. And so, it’s obviously a huge improvement and very proud of the work that we’ve done across the board. But also remember that we’re managing for profitability while investing for growth. We’re still very much in the growth mode investing for the future, and that’s key for us. And what we saw in 2021 was that we had a step change in our marketing expenses and achieved a new level of overall marketing investment as a percentage of revenue. And we’ve already achieved that new baseline and likely not to achieve substantial improvement in the marketing expenses as a percentage of revenue this year. And we also made a step change in our fixed costs and continue to improving our variable costs. We’ll continue to do that. We’ll get more leverage on fixed and keep improving our variable costs. But last year, we also saw the tailwind of average daily rate which definitely helped our margins. And as ADRs may moderate this year and as a mix of our business changes, that will be an offset to some of the further improvements in our fixed cost leverage and variable costs. So if ADRs moderate a little bit less, there’s room for some upside in EBITDA, so. But that’s why we’ve given the guidance we have.
Operator: Our next question comes from Naved Khan from Truist Securities.
Naved Khan: Yes. Thanks a lot. Two questions. One for Brian, one for Dave. So, Brian, how are you thinking about growth in Experiences for 2022 as travel comes back and people engage in more activities and Experiences? And Dave, on the margin question, again, how should we think about the growth in other expenses outside of marketing and available costs, namely operations support and product development. Is there supposed to be a significant ramp up or is ADR the primary explanation for why margins can be flat year-on-year?
Brian Chesky: Yes. Hey Naved. So, I will take the first question and Dave, you can take the second question on expenses. With regards to Experiences, we are very bullish on this product. It should be noted, for example, that the percentage of people that leave 5-star reviews for Experiences is even higher as a percentage of people who leave 5-star reviews for homes. So, what guests have told us is they love Experiences, and I think hosts really depend on the economic income that it offers. Now, in 2020, before the pandemic, we thought that year was going to be a breakout year for Experiences. Instead, we had to pause the product. But now, we are going to be ramping the product back up. It’s going to be a multiyear journey, but I’m really excited about the potential for this product. And I think the reason is really simple. I think you can only like play so many video games and stay home and watch so many shows on Netflix before you want to get out of the house and you want to do an activity with other people, whether it’s traveling or even in your own area. And so, we think this is going to be a great way to meet other people and also connect with people you care about over an activity. Dave, do you want to talk about expenses?
Dave Stephenson: Sure. So, we -- like I said just a minute ago, we achieved a new baseline in our marketing expense as a percentage of revenue. We already achieved that in 2021. So, there isn’t as much opportunity for improvement in that particular line item going forward. On the operation support area, we’re continuing to invest in the community and growth for the support of our guest and host community. So, underlying, we’re making improvements in the underlying rate of our operational support, but we still have other investments on top of that in order to drive those underlying improvements. And so, that one will have a few -- would be relatively flat for this year. And on the product development expenses, again, we’re growing our product development expenses more slowly than we’re growing revenue. So, we’re going to continue to get leverage and discipline on our focused kind of product development efforts. It, again, will just be a less of an improvement than what you saw in 2021. And then, ADR is a little bit of the challenge to forecast. If ADRs remain higher and stronger, that’s a tailwind to EBITDA; if they -- as the business rebounds more urban, more lower ADR regions and ADRs moderate some, that will be a continued headwind for our margins.
Operator: Our next question comes from Stephen Ju from Credit Suisse.
Stephen Ju: Okay. So, Brian, I think you rightly called out the longer-term stays as your fastest-growing category, and you’re going to be in the roster as well. So, thinking about the other side of the equation and I guess, the supply side of the equation. So, how are your hosts responding to the rise in this type of demand? And are there any sort of supply and demand imbalance considerations we should be thinking about or worrying about? Because it seems like the pandemic has definitely taught the consumer that they can work and stay anywhere. Thanks.
Brian Chesky: Hey Stephen. This is a really, really great question. And you are correct that there -- that -- just let me preface our supply question by saying that there’s this entire acceleration in this new category of travel, which is that people are less tethered to an office, so they can now live anywhere, not everyone but a lot of people. Additionally, we are really optimistic about cross-border travel rebounding and urban travel rebounding. So, all of the original Airbnb use cases from pre-pandemic are going to come back, I think, in full throttle, probably better than before because of pent-up demand. Now, because of that, we need to make sure we have enough supply. So, let’s talk about how we get that. Well, the first thing I’d say is that one of the great things about our business is we have a global network. And so, what that means is the number one source of host on Airbnb are prior guests. In fact, in Q4, 33% of hosts were prior guests, and that number has been going up over the last couple of years. The other really interesting phenomenon we see is the markets, the fastest supply growth are also the markets have a static demand growth. That’s really interesting. And we think the reason why is most of our community are regular everyday people. They’re teachers, their health care workers, they’re students and really everyday people. And as they make money and they get a lot of bookings, we think what’s happening is they’re telling their friends in their neighborhood and community, and they are also listing, and then some other people are expanding their business. So that’s the first thing is our global network. Next, we have a full funnel approach to recruiting hosts. First, Stephen, we need to make sure that more people know about hosting. We want the brand of hosting to be as mainstream as the brand of Airbnb, which is a noun, a verb used all over the world. So, we did two major host brand campaigns last year: Made Possible by Hosting and a Stranger campaign, and both campaigns have driven a lot more traffic and a lot prospective people to Airbnb. Next, we want to make sure it’s easier to become a host. So, what we did last year is we reduced the number of steps down to 10 easy steps to become a host. One of the things we’ve learned over the course of starting Airbnb and growing Airbnb is the number of -- the less friction, the better the conversion funnel. And so, as we make something easier, more people do it. And we also know that hosting is something that makes people ask questions about. And so, what we wanted to do is match our very best prospective host with their very best Superhost, so they can ask questions and get their questions answered. And this has led to a higher conversion rate of people becoming host. And then finally, we wanted to start addressing the obstacles that people are hosting. Now, one of the most common obstacles we heard are people were nervous about their home being damaged when they rented out to guests. And so, we launched last year with AirCover, top-to-bottom protection, free for every host only in our Airbnb, and this included $1 million damage protection and liability insurance. The last thing I’d say, though, is in addition to our global network, in addition to our supply strategy, is this other real important point. This is kind of the Holy Grail, which is that because more people are flexible about where and when they’re traveling, it means we’re further up funnel. 800 million searches have used I’m Flexible. And this means that we can start to point demand where we have supply because we are not supply constrained globally on any night of the year. The challenge is just that too many people go to too few places at the same time. But as the world gets more flexible, we can balance supply-demand in addition to our other strategies. So that’s the answer, global network, a full host recruitment strategy and pointing demand to where we have supply.
Operator: We now turn to Bernie McTernan from Needham & Company.
Bernie McTernan: Maybe just a follow-up on that with the supply and demand imbalance in the marketplace. Do you see the price appreciation as a problem for demand or an opportunity for the hosts?
Brian Chesky: Dave, do you want to take this one?
Dave Stephenson: I think, you would see a bit of both. I mean, if you go back to what we’ve seen for the average daily rate throughout 2021, early in the year, it was almost exclusively driven by mix. So, it’s the rebound of U.S. and European travel. It’s been a rebound in non-urban whole home, larger homes. So, the ADR was almost entirely mix. In the year, especially around the peak travel season around the summer, we started seeing some price appreciation in high-demand locations, think mid-summer. And so, there was more price appreciation in those areas. And it was about equal price appreciation to mix, both in Q3 and that stabilized relatively in Q4. And so, with the amount of demand for travel, the ADRs, we’ve not seen it take a significant tamper down on demand for people who travel. I think there’s a lot of pent-up demand for people to get out of their homes to travel and live. And I think they’re just constantly looking for the opportunity to kind of travel. In terms of the opportunity for host to earn more money, I mean, as there could be challenges in inflation driving up costs for individuals, they can certainly be empowered to become host as a source of earning additional income. And so, we see that Airbnb actually could be a solve for that. Airbnb have had hosts earn $150 billion as hosts on Airbnb, and I think continue to use us as a great way to earn additional income going forward.
Operator: Our next question comes from Deepak Mathivanan from Wolfe.
Deepak Mathivanan: Two quick ones, one for Brian and one for Dave. Brian, you noted that Airbnb would want to become the ultimate host and offer a more personalized service for guests. Can you elaborate on some of those efforts? And what type of incremental opportunities do you envision kind of unlock from this in the next few years? And then, Dave, I just wanted to ask on the marketing spend. It seems like you noted that you found new baseline. But as some of these volume scales in the next few years, a lot of it is driven by kind of a macro recovery of the travel spend incrementally and then also in some of these use cases like long-term stays remaining strong. Why shouldn’t we kind of expect additional leverage on marketing, or is this an effort by you to sort of step up investments so you can keep marketing spend relatively flat as a percent of revenues and bookings? Thank you.
Brian Chesky: All right. Awesome. Well, thanks, Deepak. Obviously, I’ll take the first question, Dave, and then I’ll let you take the second. So, Airbnb becoming the ultimate host. What I would say, let me point you to two things that we’re seeing, just to give you a sense of where we’re going. Let me start by saying Airbnb is really a design-driven company at the very beginning. We have a unique design driven approach, and I think that is a source of much of our innovation. And that’s allowed us to create this new category of travel, and it’s allowed us to make over 150 upgrades innovations in the last year. We have some really huge things that we’re going to be launching in the coming months that I’m really excited about. A couple of schemes that we’re thinking about. Number one, as I said, more and more guests are coming to Airbnb with flexibility, right? So typically, the way it used to work is people would come to Airbnb or an OTA, and you’d ask them where are you traveling and most people knew where they’re traveling. You’d asked them when you’re travelling, they say, I know where I’m traveling. So, maybe I’m going to Miami this week. The more guests are flexible, the more you want to start learning more about why they’re traveling and what they’re interested in, so you can point demand where you have supply. So, the first thing we want to do is provide a more personalized shopping experience. I think that we can go beyond the classic e-commerce paradigm where anonymous customer comes to a website, they type something into search, they get a list of search results and then they book something. We think that we can provide an even more personalized service. And because we have a huge amount of repeat guests and we’re a community and we know quite a lot about our guests, I think we can provide a deeply personal service. And that will increase conversion and really unlock a lot more opportunities for guests. That’s just one example. One other example I’m going to give to you is on customer service. One of the things we noticed is when we offer dedicated Superhost support for a Superhost and then AirCover, which is the industry first protection for host, it has massively increased host sentiment. And, we think this is critical. And we think we can do quite similar things for guests. We think that we can provide just the ultimate customer service to our guests and be there with them and go above and beyond each step of the way, just like a good host. And as far as does this offer an opportunity for incremental new offerings and services, the answer is absolutely yes. The more we know about our guests, the better service we provide, the more opportunities we have to promote new offerings to them as well. Dave, do you want to take marketing?
Dave Stephenson: Sure. Just to step back, remember that in 2019, kind of before the pandemic, we shifted our marketing strategy to be more brand-driven and even less dependent on search engine marketing. And so, we made that shift and it kind of was proven to be the right shift to be made not only in 2019, but obviously in 2020 and 2021. And what we’re currently seeing is still 90% of our traffic remaining to be direct and unpaid. And so, we’re continuing to focus more of our spend in brand marketing and less on the search engine marketing. And you are right that the brand marketing then should be more fixed, it’s more of a fixed investment. But what we’re seeing is great success in the brand marketing that we did last year, and we’re going to be expanding it to more countries. And so, to the extent that we expand into additional countries, there will be some incremental more brand marketing spend in this year. But you’re right, once we are penetrated in most of the countries around the world, we can see more leverage because it becomes more of a fixed cost. And as you grow revenue, you can kind of grow revenue out above the marketing. I just -- we don’t expect to see that additional leverage in 2022, but we could see it in 2023 and beyond.
Operator: We now turn to Mario Lu from Barclays.
Mario Lu: The first one is on one of your top priorities for ‘22 and beyond. You mentioned unlocking the next generation of hosts. So, it’s been pretty clear that your hosts have been growing in regions that are seeing the largest demand. So, just curious if there’s a certain demographic or host that you feel you’re currently under indexing and look to unlock? And then, secondly, on service fees or take rate. I understand this is not reported, but with half of the elevated ADRS is due to pent-up demand, does that give you confidence that you could potentially increase the service fee at some point in the future? Thanks.
Brian Chesky: Yes. Hey Mario, I can take both and then Dave, you can feel free to elaborate on anything I didn’t get to. But, I’ll do both of these. All right. So let’s talk about unlocking the next generation of hosts. And the question is, is there any area that we’re under-indexing in? I don’t know if I’d say there’s an area we’re under-indexing in, but I can tell you where I see the biggest opportunity. Airbnb, we started because my roommate and I were living in San Francisco, we couldn’t afford to pay rent. So in other words, we weren’t a small business. We weren’t a vacation rental owner. We were just kind of everyday people. We weren’t a property management company. And we started Airbnb, the real innovation was we created tools to allow everyday people to be able to become host for the very first time. And because of that, nearly 90% of our hosts are individuals. They’re school features, healthcare workers, students. Our hosts have earned over $150 billion since we started and 55% of them are women. So, what we’re going to do is continue to focus on individuals. We’re going to continue to support property managers. We’re continuing to invest in them. We also have hotels, but we think probably the biggest growth area is going to be individuals. And the reason why is because things like inflation are providing more pressure on families all over the world and they’re going to require economic opportunity to be able to make it through this difficult time. And we saw that we started Airbnb during the 2008 recession. And many people were turning to Airbnb because the economic empowerment provided. So, I think that most people don’t realize that they can make an incremental $9,000, $10,000 a year by hosting occasionally. And then there are a number of people that are incredibly successful. We see people renting unique properties that are making tens of thousands of dollars, even hundreds of thousands dollars a year. So, we think just getting the message out to everyday people, they can become a host, making it easier and addressing the obstacle systematically is the key opportunity. And this is true in geographies, all of the world, from North America, Europe, Latin America, Africa and APAC. So, that’s what we’re really seeing. And then on the service fees and take rate, let me just say this. There is no question that we have obviously the opportunity to increase take rate on the guest side and the host side. Now, we don’t want to just increase the tax for the service. We want to make sure that we’re going to increase our prices that -- or if we’re going to increase fees, that’s going to be because we’re offering services that our guests or hosts want to pay for. We want to make sure that every single year, the value listing is increased. Right now, those opportunities to increase monetization efforts are not the most perishable opportunities right now. And the reason why is we think this is a once-in-a-generation opportunity for this huge travel rebound. We have these new use cases. People are living anywhere all over the world. But we also have the return of cross-border travel, the return of urban travel. So, we are totally focused on responding to this travel market share as possible. Now, the bigger we get and the more scale we get, the more services we could potentially offer to guests and hosts. And what we’ve seen is there’s a lot of services that you can offer to host. I think Alibaba, Amazon, Etsy, Shopify and others have proven that there’s a huge opportunity in this area. It’s just not the most perishable opportunity right now, so we’re focused on market share.
Operator: We now turn to Jed Kelly from Oppenheimer.
Jed Kelly: Two, if I may. You said your listings were up 20% in non-urban North America. Is that coming from primarily individuals or property managers? And then, as we think out to 2022 as more people return to urban destinations, how should we think about competition, specifically from hotels and more commoditized inventory? Thank you.
Brian Chesky: Great. Thanks, Jed. Why don’t Dave, you take the first question, growth of individuals versus property managers in nonurban areas?
Dave Stephenson: Yes. Broadly, what we’re seeing is that our growth in new supply has been relatively consistent with the distribution of individual versus professional hosts that we’ve seen typically. Like, the majority of our listings are unique to Airbnb and from our individual host community. And so, we’re continuing to see the growth in our overall number of listings to be consistent with the relative distribution that we’ve historically seen. We don’t specifically break out the individual versus professional host by geography. I’ll just tell you that broadly, we are continuing to see that we focus on the unique needs of the individual hosts, individual host community. That’s what we’re focused on, and that’s where we’re continuing to see the growth. So, the mix overall has remained relatively stable between individuals and professional hosts during this most recent period.
Brian Chesky: And then, Jed, why don’t I take the question about competition, hotels and more commodity offerings. So, I think the important thing -- I mean this is just one thing to think about. The longer you’re away from a home, the more I think you want to be in a home. And if you actually look at the growth of Airbnb by length of stay, every length of stay segment, except for one grew from this time in 2019, Q4 2019. For example, 1 month stays grew, 1 week stays grew, 3 nights stays, 5 nights stays grew. The only stay category that didn’t grow were 1 night stays. Presumably, these are business travel stays. I don’t think that business travel is going to ever come back the way it was before the pandemic. It doesn’t mean business travel is not going to back. I just think it’s going to be different because the way we work is different. And I think that the bar to get on an airplane to travel for a meeting will just be a little higher than before. Now, I do think that the travel market is so big that I think there’s so much room for both, Airbnb and hotels. And actually, I think many hotels are going to consider it to be a very important distribution platform for them. The bigger we get, the more important we actually are to them. I also think the hotels are going to have a really great opportunity with a lot of group travel conferences, like really large like events and offsites. So, they’re going to have their area where I think they’re going to thrive and I think we are going to have ours as well. But I don’t actually see like a massive overlap. I do think there are some very distinct use cases that are great for Airbnb and some others that are great for hotels and hotels exist on Airbnb.
Operator: We now turn to Brian Nowak from Morgan Stanley.
Brian Nowak: I have two on the bookers. You guys have had incredible bookings growth the last couple of years. I’d be curious to hear about what you know, what you’ve learned about the demographics of your bookers and how it’s changed, age, income? What does the base of your bookers look like now as opposed to pre-pandemic? How has that sort of changed your view of the world? And then secondly, about all the new bookers that came to the platform in 2020 in 2021, what can you tell us about their user behavior from a frequency or booking perspective at this point versus earlier cohorts, just so we get sort of an idea of how these users may or may not be different from what you’ve added historically? Thanks.
Brian Chesky: All right. Thank you very much, Brian. And Dave, why don’t you take these. So, the first question is bookings growth, what are the demographic of bookers, especially new bookers and then new user behavior compared to earlier cohorts?
Dave Stephenson: I think broadly, the good news is that we’re really not seeing a major shift in change overall. The demographics have been relatively consistent throughout this rebound and our new cohorts have -- it’s early, but our new cohorts are still aging consistently with what we’ve seen new booking cohorts age in the past, the repeat booking rates and things. So, I think that’s a nice opportunity for us to introduce Airbnb to millions of new guests and it’s great that those guests at least in the early days, are having similar rebooking rates as what we’ve seen historically.
Brian Chesky: And maybe I’ll just -- maybe -- and maybe, Brian, I’ll just say one other thing. I think the thing that’s like really quite unique about Airbnb is we’re not just a brand for young travelers or old travelers. We’re not just a budget brand or a luxury brand. We are really -- we range from budget to luxury, young travelers to retirees. We’re in U.S., also in Europe. We’re in every continent in the world, and we’re not just urban, we’re urban and nonurban. And so I think the adaptability of our model and the incredible selection that we have really brings the kind of the whole world to Airbnb. And so, we’re seeing -- and I think I continue to expect that really all demographics are going to continue on Airbnb. It’s a pretty unique brand that can really flex in that way. And so, I think it’s one of the great points of our global network.
Operator: We now turn to Brian Fitzgerald from Wells Fargo.
Brian Fitzgerald: A couple of questions on the length of stay. As you continue to see the strong growth in longer stay. Just wondering if you could walk us through some of the take rate dynamics of that. And when you talk about addressing the key pain points of hosts, just wondering if you could share what some of the ongoing points of friction are there and preventing people from hosting on the platform?
Brian Chesky: Yes. That’s great. So Dave, why don’t you take the length of stay, take rate dynamics and I can talk about the key obstacles people have for hosting.
Dave Stephenson: Sure. On the take rates, the long-term stays, they have a moderately lower take rate because the guest needs are a little bit lower. And the ADRs or the average daily rates are just staying for longer because hosts often offer a discount. But those lower take rates and ADRs are offset by the fact that they’re longer than short-term stays and the costs actually support them. So lower customer support costs another -- and actually have a more nights booked. Those are benefit and become a tailwind and we generate similar contribution margins from a long-term stay booking relative to the short-term stay bookings. So, the dynamic is a little bit different on the top, but the bottom line contribution is more similar.
Brian Chesky: And as far as addressing the obstacles, Brian, what we’ve seen is we’ve listened to thousands of hosts and we took a very systematic approach to the journey from people learning about Airbnb hosting to listing to going through the entire process. And the first thing we want to make sure is people know the benefits of hosting. Most people don’t realize the economic opportunity the hosting provides. They don’t realize that you can host in 10 easy steps. They don’t realize that the vast majority of people get their first booking within three days. We want to make sure that if they have any problems they can get help they need, so we’re going to continue to expand the Ask a Superhost program. We have some ideas to reduce the effort to hosting even further, and we want to continue to provide more protection like AirCover to get even more people a peace of mind. I think the thing about Airbnb hosting, that’s pretty unique compared to other marketplaces is almost any type of person can be a host. Most of the people listening to this call could be a host. You could be renting your second home. We -- people rent their primary home. People can rent their homes when they’re gone. And so I think there’s something about hosting that can apply to people of all walks of life. And that’s what we’re going to be focused on.
Operator: We now turn to Doug Anmuth from JP Morgan.
Doug Anmuth: I was just hoping you could talk a little bit more about ADRs and just what you’re seeing so far for bookings in ‘22? And just curious, just your view of the degree of decline for this year has changed at all. And then, Dave, just on capital allocation, just curious if there’s any changes or anything different to call out now just given obviously, a lot more discipline in the business and a very different degree of profitability versus a couple of years ago. Thanks.
Brian Chesky: Yes. Obviously, Dave, why don’t you take both of these, ADR in 2022 and capital allocation.
Dave Stephenson: Sure. Yes. Like I said earlier in the call, the average daily rate early in 2021 was almost exclusively driven by mix, country mix, urban versus nonurban and whole homes or whole home non-urban, Europe, U.S., just has a higher daily rate. And then towards the back half of the year, both in Q3 and Q4, we saw some price appreciation in high-demand markets and kind of peak periods. And so, then it was more equally weighted between the two. And so, then, what we’ve seen kind of coming in and we expect that as urban comes back, and we are continuing to see urban accelerate every quarter and some of our lower ADR markets start coming back, and we have seen places like Latin America now well above 2019 rates. So, we would see some moderation in the ADRs. What we’re seeing early in 2022 and included in this -- in the letter is we anticipate about a 4% increase still year-over-year, so Q1 ‘22 over Q1 ‘21 in ADR. So, we’re still seeing strong ADR rates and anticipate that will be the case here early in the year. And what’s tougher to forecast is the rate of return of those lower ADR segments and then how much of the price appreciation kind of steps. But we would anticipate some moderation of ADRs through the back half of the year. We just don’t know exactly how much. And then, on the capital allocation, I do tell you that I sleep better at night now that we have $8 billion of cash in the bank relative to the position we were in -- prior to COVID or midst of COVID. And it enables us to have the flexibility to continue to invest in growth because that’s what we’re focused on is to grow this business. And we can continue to use some of that cash in case we wanted to use it for any kind of acquisitions, although acquisition is not our primary kind of growth driver. And one change that we did announce here in the letter of this quarter is that we are planning to pay for our RSU tax obligations for employees with cash rather than selling to cover. So we will be net settling those shares, and that will be a use of about a little more than $1 billion of cash during the year. But, I’m very proud about how -- with our investments. So, thank you.
Operator: We now turn to Lloyd Walmsley from UBS.
Lloyd Walmsley: Thanks. I had a couple. First, just on the host supply, it sounds like you’re seeing good traffic gains in regions where you’re advertising, but the aggregate listings number is only up something like 7% from the last disclosure, despite a pretty good environment. So, just wondering what gives you the confidence that you can continue to grow supply to meet demand on kind of a multiyear basis? And is there -- do you have visibility into the backlog of hosts just going through that process that gives you that confidence it can accelerate? And then a second one on kind of ADRs, the shareholder letter mentioned having over 25% more nights booked for the summer than this time in 2019. Can you talk about what that looks like kind of on a gross bookings basis? And as we think about ADRs, if you put aside the geographical format mix shift, like where do you think like-for-like pricing is moving up for this year as it seems like some folks are pushing price?
Brian Chesky: Yes. Thanks very much, Lloyd. So, Dave, I think you can take both of them, and I’m happy to round up the answers. The first one is obviously on host supply, how we’re feeling about the environment on a multiyear basis and the backlog of hosts. And second, obviously, summer demand, what that means for GBV ADR.
Dave Stephenson: Sure. As we kind of mentioned earlier, the key is that -- on the supply side, remember that we have 4 million hosts. The vast majority of those are individual hosts, 90% of those are individual hosts. And the individual hosts hosting their own home or often the second home. And so, what we found kind of during the pandemic is people don’t get rid of their own or their second home just because there’s a global pandemic and they’re not having hosting. When people are ready to travel, they’re there and ready to travel again. So actually, we’ve been quite proud of the fact we’re pleased that our actual supply has remained as stable as it has throughout this pandemic. And I think that’s what you’re seeing in regions outside of where we’re seeing a lot of the rebounds, U.S. and Europe, while there could be softness or not as much growth there. That growth would be there when the demand comes back. And that’s why we’re highlighting the growth that we saw in the high-demand areas. We did grow 20% in the U.S. non-urban because that’s where we’re seeing a greater amount of demand. Airbnb is amazingly self-healing dynamic with the approach to how we add supply to our environment. So, I think as the market comes back, we’ll continue to do it. And then go ahead, Brian.
Brian Chesky: And again, maybe I’ll just, Lloyd, round out a little bit of this answer. I just wanted to just really underline this. We designed the Airbnb in the very beginning so that guests attract hosts and hosts attract guests. And this is 14 years later, more than 1 billion guest arrivals later. It’s working obviously pretty well. And again, I think one of the -- a couple of reasons. Number one, guests become hosts. And so, as we get more hosts, a percentage of them -- as we get more guests, a percentage of them become hosts. And we’re going to continue to focus on converting as many guests to hosts as possible. This is a really interesting flywheel. Number two, the way we grow primarily is word of mouth. So, as regular people get more bookings, they tend to tell other regular people about it. If a hotel gets a lot of bookings, they’re not going to tell the next hotel who’s a competitor. Most regular people don’t think of themselves that way. So, word of mouth starts to spread. But the other thing, once again, I also want to underline is the Holy Grail of supply is also being able to point demand where you have supply. And we are not even close to supply constraints any night of the year, if you take a global average of every city, all 100,000 cities around the world. And so, what we want to do is as people are more flexible, and we are moving top of funnel, we want to continue to point demand where you have supply -- and all of that is in addition to our very specific efforts to continue to recruit hosts, which we’re really focused on. So, I think Dave nailed it. It’s all about the global network. And Dave, why don’t you take the second question about summer demand?
Dave Stephenson: Yes, summer demand and ADRs. I mean, I think we’re just seeing strong demand for travel. People are ready to travel this summer. We have 25% more nights booked for the summer travel season than we did in 2019. They’re ready to get out and do that travel. And obviously, we are seeing that ADRs are higher. But as I mentioned earlier in the call, both in Q3 and Q4, a portion of that was mix and about an equal portion was due to price appreciation. So, that stayed relatively stable. In other words, we didn’t see price appreciation go up higher as a driver in Q4. It was fairly stable. So, that’s kind of what we have currently forecasted for what we’ve shared in our guide here in Q1.
Operator: We now turn to Andrew Boone from JMP Securities.
Andrew Boone: Two please. First, can you just talk about your progress with hotels on the platform? Brian, I think you mentioned that briefly earlier. And then, secondly, going back to marketing, do we start to think about brand marketing as being more connected to the supply side of the equation, meaning that there’s going to be continued pressure as you guys grow the network more broadly, but rather than focus on the demand side, focusing more on the listing side and thinking about that as it is connected to marketing?
Brian Chesky: Thanks, Andrew. Why don’t we do this? Why don’t I, Dave, take marketing? I’ll start there because I wanted to just recap how we’re thinking about marketing over the coming years. And then you can take our progress with hotels and the platform. Let me just back up and just talk about how we’re thinking about marketing, Andrew. We have a pretty different marketing approach than our competitors because we take a full funnel approach to marketing. And it combines PR with brand marketing and performance marketing, and PR is actually probably the most important channel to build the brand of Airbnb. And that is because Airbnb has got an offering that’s really unique. And so, because of that, people are deeply passionate about, they tell one another and every Airbnb’s become a noun and a verb used all over the world. We got more than 0.5 million articles on Airbnb just last year alone. So, it’s been a very important part of our marketing strategy. And I think this explains why nearly 90% of our traffic remains direct or on pace. Now we take brand marketing, we think of as really investment in educating the world about Airbnb. So, it’s not really about buying customers but educating people what makes Airbnb special. And then we think of performance marketing as really a laser, to laser in on balancing supply and demand. Now with regards to brand marketing going forward, it’s a great question. I think we’re going to focus on a couple of big areas. Number one, yes, we think the area that needs a little more investment is the brand of hosting. The brand of Airbnb is noun and verb used all over the world. And very few people at this point who travel regularly and book travel on Internet don’t know about Airbnb. But we don’t think enough people know about the incredible economic benefits to hosting and just be incredible, like what it brings to people’s lives to be able to bring the world to their home. But the other thing is we have a lot of really big innovations that we’re going to be launching this year. And so, we want to actually put some of our brand marketing dollars behind some of the new product innovations that I’m incredibly excited to deal this year. And so, those are two of the areas that we’re going to continue to invest in. Again, we think of marketing as education, education and what we have that’s unique and different, and we’re going to educate the world about hosting, and we’re going to educate the world about our new products and innovations this year. With that, why don’t I hand it over to Dave. Maybe the only other thing I’d say of hotel, before we talk about how they’re doing on our platform is, again, the core o our community are individual hosts. But the great thing of our platform is property managers and hotels are great ways to fill the network gap. We think most people come to Airbnb to book something unique, one-of-a-kind stay from an everyday host. But we always want to make sure we never have any network gaps. We never want somebody come to Airbnb and leave having not found a place to stay. And so, we think hotels and property managers continue to be a very important part of our strategy. And the more demand we give them, the more they will continue to come on our platform. I don’t know, Dave, you want to talk a little bit about the progress of hotels on our platform.
Dave Stephenson: We notice that in 2020 and 2021 we did scale back our investment in those areas. I mean it’s key to have hotels still in the network gaps. But as cities are starting to return and we’re getting urban coming back, that’s when the time we’ll need to fill those network gaps with hotels. And so, what we’ve seen in Q4 is that the nights remain depressed here over two years, and they’re slightly down kind of quarter-over-quarter due to Omicron. But our revenue’s a little bit stronger relative to that due to a little bit higher ADRs, which we’re seeing in hotels, similar to what we’re seeing in other parts of the business. So, we’ll invest in hotels over the long term. It’s just not our immediate focus.
Operator: We now turn to Mark Mahaney from Evercore ISI.
Mark Mahaney: Okay. Thanks. I just wanted to clarify something on marketing. It does sound like you’ve run a few campaigns towards hosts and towards I think you called them shaggy strangers that you were pretty happy about. So, do you want to lean more into marketing you talked about expenses levering or not -- leveraging or not leveraging in ‘22, should we expect sales and marketing to show some deleverage as you kind of lean more into those marketing plans? And then, could you also talk a little bit more about ADRs? And I forget what the impact of the longer-term stays, what impact that’s had on ADR? So, forget about the urban, forget about the pricing, just that impact itself of longer-term stays. Is that that accretive or dilutive to ADRs, what kind of impact does that have? Thank you.
Brian Chesky: All right. Thanks very much, Mark, for both questions. Dave, I’ll hand it over to you. Sorry.
Dave Stephenson: On the marketing campaign, as I said earlier, we anticipate our marketing expense as a percentage of revenue in 2022 to be relatively consistent with that in 2021. So I’m not anticipating further deleverage and also not anticipating a lot of incremental leverage. As we’re growing this year, we’ll be expanding the investment to more countries. And as you noted, like our -- some of the brand marketing that we’re doing in support of host. I think one of the powers to remember of our marketing is that we can speak to both sides of the marketplace. So, anytime we market Airbnb, we can actually talk to both, guests and hosts. And as Brian mentioned earlier, one of our single largest sources of new hosts are our formal guests. On the ADR, long-term stays are dilutive on the ADR as a percentage goes up. but it’s kind of offset by some other -- the other factors that we talked about on the call today, both mix shift and price appreciation is what continues to buoy the ADR rates overall.
Operator: Our next question comes from Kevin Kopelman from Cowen and Company.
Kevin Kopelman: I just had a follow-up on some of the recent booking trends you’re seeing. So, looking at the Q1 revenue guide at the midpoint there, it would be 70% higher than in Q1 ‘19. And that’s higher than any of the GBV stats you’ve given out so far. So, is that revenue growth all GBV driven, or there other -- the take rate or other components in there as well? And if so, what are they? Thanks.
Dave Stephenson: Yes. The GBV is primarily driven by the -- relative to nights is driven by the increase in ADRs. So, our absolute kind of take rate on a percentage of GBV is actually remaining fairly stable, so.
Operator: We’ve come to the end of our Q&A. I will now hand back to Brian Chesky for his closing remarks.
Brian Chesky: All right. Well, thanks for joining us today, everyone. Just to summarize what we shared today. 2021 was a record year for Airbnb. We hit new highs of gross booking value, revenue, net income and adjusted EBITDA. We made more than 150 upgrades and innovations across every aspect of our service. But we’re not stopping there. In 2022 and beyond, the world will continue to change as millions of people choose to live anywhere. And Airbnb will relentlessly innovate to support this new world. We’ve now been a public company for more than a year. And I want to end today by thanking our employees who worked tirelessly to make all of this innovation possible. And to our millions of guests and hosts around the world, I want to thank you for trusting us in helping build Airbnb into what it is today. Thank you all. And I’m going to speak to you again soon from a number Airbnb somewhere around the world. See you.
Operator: This concludes today’s call. We thank you for joining. You may now disconnect your lines.